Operator: Good afternoon. Thank you for attending the Alpha and Omega Semiconductor Fiscal Quarter Three 2024 Earnings Call. My name is Gemma and I will be your moderator for today. [Operator Instructions] I will now like to turn the conference call back over to our host with Alpha and Omega. Please go ahead.
Stephen Pelayo: Good afternoon, everyone and welcome to Alpha and Omega Semiconductor’s conference call to discuss fiscal 2024 third quarter financial results. I am Stephen Pelayo, Investor Relations representative for AOS. With me today are Stephen Chang, our CEO and Yifan Liang, our CFO. This call is being recorded and broadcast live over the web. A replay will be available for 7 days following the call via the link in the Investor Relations section of our website. Our call will proceed as follows today. Stephen will begin business updates, including strategic highlights and a detailed segment report. After that, Yifan will review the financial results and provide guidance for the June quarter. Finally, we will have a Q&A session. The earnings release was distributed over the wire today May 7, 2024 after the market close. The release is also posted on the company’s website. Our earnings release and this presentation include non-GAAP financial measures. We use non-GAAP measures because we believe they provide useful information about our operating performance that should be considered by investors in conjunction with GAAP measures. A reconciliation of these non-GAAP measures to comparable GAAP measures is included in the earnings release. We remind you that during this conference call we will make certain forward-looking statements, including discussions of the business outlook and financial projections. These forward-looking statements are based on management’s current expectations and involve risks and uncertainties that could cause our actual results to differ materially. For more detailed description of these risks and uncertainties, please refer to our report and subsequent filings with the SEC. We assume no obligations to update the information provided in today’s call. Now, I’ll turn the call over to our CEO, Stephen Chang. Stephen?
Stephen Chang: Thank you, Steve. Welcome to Alpha and Omega’s fiscal Q3 earnings call. I will begin with a high level overview of our results and then jump into segment details. We delivered fiscal Q3 results in line with our guidance for revenue and gross margin. Revenue was $150.1 million. Non-GAAP gross margin was 25.2%. Non-GAAP EPS was slightly better than expectation at a loss per share of $0.04. This quarter, we saw seasonal declines in computing and smartphones and continued inventory corrections in gaming, quick chargers and solar. Looking at a broader view of the overall semiconductor cycle, inventory corrections across the majority of our end markets are now approaching their conclusion, positioning us for a gradual rebound as we move forward into the rest of calendar year 2024. For example, the rate of decline in gaming and quick chargers slowed during the quarter and we saw sequential growth in tablets, appliances and e-mobility. In addition, during the March quarter, we saw an increase in demand for newer applications, such as graphics cards and AI applications. As we stated last quarter, we are approaching the recovery phase of the next cycle. While that trajectory is hard to predict, we are coming out of the downturn an even stronger and more resilient company. Starting from the June quarter, we forecast a rebound in gaming and continued strength from tablets, graphics cards and AI. Looking beyond, we anticipate the second half of this year will be stronger than the first half as customers gear up for new product launches in smartphones as well as PCs. Looking beyond 2024 to the growth phase of the next cycle, AOS is transitioning from a component supplier to become a comprehensive solution provider, enabling us to go deeper with increasing BOM content and penetrating new products and verticals. We have built upon our core competencies of high performance silicon, advanced packaging and intelligent ICs to expand our product offering. For example, we now have multi-phase controllers in addition to smart power stages to power not only computing Vcore, but also extending to graphics and AI data center applications for advanced computing. We also continue to leverage our core technology IP and strengths in other applications such as battery, motor and power supply, while investing in R&D into adjacent markets. With that, let me now cover our segment results and provide some guidance by segment for the next quarter. Starting with Computing, March quarter revenue was up 80.4% year-over-year and down 4.3% sequentially and represented 45.8% of total revenue. These results were in line with our original expectation for a mid single-digit decline sequentially due to seasonality and the impact of Chinese New Year. As mentioned before, the financial growth in graphics cards, tablets and AI accelerators helped partially offset the seasonal decline that was mostly from notebooks. Looking forward into the June quarter, we expect the Computing segment to grow mid to upper single-digits on continued strength in tablets, AI, accelerators and graphics cards. Turning to the Consumer segment, March quarter revenue was down 47.1% year-over-year, up slightly 0.3% sequentially and represented 15.7% of total revenue. The results exceeded our forecast for a low single-digit sequential decline driven by strength in home appliances and LCD TV. The inventory correction in gaming continued in the March quarter, but as we suggested last quarter, we see opportunities to increase BOM content within the current console platform as part of a product refresh coming very soon. We also remain engaged in deep discussions for the next generation model design. For the June quarter, we forecast double-digit sequential growth in the consumer segment due to an end to the inventory correction in gaming, which is expected to drive a strong rebound. Next, let’s discuss the Communications segment. Revenue in the March quarter was up 39.2% year-over-year and down 7.4% sequentially and represented to 17.9% of total revenue. These results were below our expectations as continued strength in March quarter shipments to the Korea and China-based smartphone OEMs were offset by a seasonal decline in shipments to the Tier 1 U.S. smartphone customer as well as a slowdown in networking. Looking ahead, we anticipate a strong sequential rebound in shipments to our Tier 1 U.S. smartphone customer as they prepare for their fall launch, while we forecast a sequential decline from Korea and China OEMs. Even with a sequential decline, our China OEM business remains strong and up significantly year-over-year. Overall, we estimate the Communication segment will be flat sequentially in the June quarter, which is notably higher year-over-year, because of our BOM content and market share increases. Now, let’s talk about our last segment, Power Supply and Industrial, which accounted for 16.5% of total revenue. March quarter revenue was down 6.5% year-over-year and down 29% sequentially. These results were driven by a continued inventory correction in quick chargers following the peak season shipments to our Tier 1 U.S. sparkling customer in the September quarter last year and a sequential decline in AC-DC power supplies, power tools and solar. As mentioned last quarter, we saw strong sequential growth from the e-mobility segment driven by deepening customer relationships for e-bikes and e-scooters. For the June quarter, we expect the segment to increase mid to upper single digits sequentially, mainly due to the end of the inventory correction in quick chargers and continuous strength in e-mobility. In closing, we delivered fiscal Q3 in line with our expectations. Over the past year or so, we have experienced rolling inventory corrections in nearly every one of our end markets. We believe the bulk of the adjustments are now behind us. Seasonality is starting to return as we prepare for PC and smartphone launches in the fall. Looking into the next cycle, we are poised for growth, bolstered by advanced technology, a diversified product portfolio addressing a broadening array of end markets and a premier customer base across all business lines. Power management underpins key trends such as AI, digitalization, connectivity and electrification, especially as we move towards a sustainable, low carbon society. We are steadfast in executing our technology roadmap. Customers increasingly view us as a total solutions provider, allowing us to capture a greater portion of the bill of materials and ultimately supporting growth that outpaces industry over the long run. With that, I will now turn the call over to Yifan, for a discussion of our fiscal third quarter financial results and our outlook for the next quarter. Yifan?
Yifan Liang: Thank you, Stephen. Good afternoon, everyone and thank you for joining us. Revenue for the quarter was $150.1 million, up 13.2% a year-over-year from 9.2% sequentially. While March quarter is historically our seasonally lowest revenue quarter due to the technicality of consumer spending. The year-over-year growth indicated the strength of our recovery from the inventory corrections. In terms of product mix, DMOS revenue was $93.8 million, up 15.9% over last year, and down 13.8% sequentially. PIC revenue was $50 million, up 5.4% from a year ago and 10.6% from the prior quarter. Assembly service and other revenue was $1.2 million as compared to $1.6 million for the same quarter last year and $0.7 million last quarter. License and engineering service revenue was $5.1 million for the quarter versus $5.5 million in the prior quarter and $3.6 million for the same quarter a year ago. Non-GAAP gross margin was 25.2% compared to 25.1% a year ago and 28% last quarter. The quarter-over-quarter decrease was mainly driven by lower utilization and ASP erosion, partially offset by better mix. Non-GAAP operating expenses were $38.9 million compared to $36.2 million last year and $37.9 million for the prior quarter. The quarter-over-quarter increase was primarily due to higher payroll tax expenses given the start of a new calendar year. Non-GAAP quarterly EPS was a loss of $0.04 compared to a loss of $0.21 a year ago and $0.24 earnings per share last quarter. Moving on to cash flow. Operating cash flow was $28.2 million, including $9.9 million of repayment of customer deposits. By comparison, operating cash flow was $11.6 million last year and negative $23.5 million in the prior quarter. We expect to refund about $4.5 million customer deposits in the June quarter. We also repurchased 287,000 shares of employee restricted stock units vested during the quarter for $6.7 million. EBITDAS for the quarter was $11.6 million compared to $6.5 million for the same quarter a year ago and $20.7 million in last quarter. Now let me turn to our balance sheet. We completed the March quarter with a cash balance of $174.4 million compared to $162.3 million at the end of last quarter. Net trade receivables decreased by $18.7 million sequentially. Days sales outstanding was 15 days for the quarter compared to 18 days for the prior quarter. Net inventory increased by $6.4 million quarter-over-quarter, average space eliminatory were 153 days compared to 141 days in the last quarter. CapEx for the quarter was $7.4 million compared to $9.1 million for the power quarter. We expect CapEx for the June quarter to range from $6 million to $8 million. Now, I would like to discuss June quarter guidance. We expect revenue to be approximately $160 million plus or minus $10 million; GAAP gross margin to be 24.7% plus or minus 1%. We anticipate the non-GAAP gross margin to be 26.3% plus or minus 1%; GAAP operating expenses to be in the range of $47.9 million plus or minus $1 million; non GAAP operating expenses expected to be in the range of $39.5 million plus or minus $1 million; net interest expense to be approximately $0.5 million; and income tax expense to be approximately $0.9 million. With that, we will open the call for questions. Operator, please start the Q&A session.
Operator: [Operator Instructions] Our first question comes from David Williams with the company Benchmark. David, your line is now open.
David Williams: Thanks. Good afternoon and thanks for taking my question. Congrats on the return to growth here. And it sounds like you guys are a lot more positive than we have heard in some time, so that’s great to hear. I guess Stephen, just one of the first things I wanted to ask was on the smartphone and on the handsets, there you talked about that being a little bit better or strength Q-to-Q, is that when you would typically begin to see that order pull in for those flagship launches? And how do you think that compares relative to prior years? Do you have any – do you think you are seeing any changes in those order patterns or would you describe it maybe as typical?
Stephen Chang: Certainly, we have commented on the smartphones is doing better than normal seasonality. In a typical year, we would usually see the March quarter as low seasons for smartphones kind of opposite of the fall launches that we normally prepare for. This year, actually we saw strength in the March quarter. It is – generally, it is still not – it’s still dropped a little bit compared to the December quarter, but actually still at a very high level. And I think the key difference for that is actually the strength in the China market and especially particularly in the premium phones. And that has helped to offset some of the normal seasonality we see in the other phone makers.
David Williams: Okay. And as a matter, are you guys able to ship into Huawei on any products there, or are they still not a customer there?
Stephen Chang: Yes, right now we do not ship to Huawei.
David Williams: Okay. Alright. Perfect. Thanks. And then just noticed there were, you guys and you talked a little bit about some of the new products. But it seems like you put out quite a few especially on the compute side, I am just wondering if you can kind of help us maybe quantify the magnitude of what these new products kind of bring into that compute market and how that can help you grow that content relative to what you have discussed in the past on just combat CPU upgrade or generational change. But how much additional content do you think you can capture from the new products that you are releasing into that market?
Stephen Chang: Sure. So, there is actually quite a bit going on in the computing space. In the normal computing, I would say it’s the client computing side. We are expanding our bond content there by going after total solutions. So, not only going after the threats and be able to power stages, we are also introducing on the multi-field controllers in order to sell a total solution into that into the powering this V-core solutions. So, with that, we are seeing BOM content grow. It used to be in the $2 range is going into the $3 range. And depending upon the configuration can push harder than that. But that’s helping us in general because with the latest power maps being used that the CPUs are being used, we are seeing more driver mass is lowered, more phases, which basically means more content for us and going into powering the CPU. Now – and so that’s what’s going on the client side. The other thing that we are seeing in general is that we are expanding more not only from the client PC side, but also going into advanced computing. And you guys and we have been sharing about our success in general into the graphics market, we are seeing in a return into growth for the graphics side. So, we feel a little more confident that the inventory correction there is behind us and we are seeing growth is specifically for the graphics side. And the graphics we have been in there since about, most significantly ever since the year 2000. So, it’s good to see that that market coming back for us. And the other new area that I would say that’s in the computing space is AI. And over there we are starting to get some business because of our success in graphics cards. One of our customers is basically using a similar solution in their AI accelerators. So, we are still seeing some contribution coming there, going into AI accelerators.
David Williams: Lots of great color there, certainly appreciate that and it’s good to hear the progress. I guess maybe lasting for me here is just on the home appliances, you talked about that being a greenfield opportunity still relatively under penetrated. But you have got the new products and it sounds like that market is performing a little bit better. Just wondering how you are seeing that appliance market, maybe not just the short-term, but the longer term, how much share do you think, you can have there and maybe we think that can be in terms of total opportunity for you and from a revenue standpoint as you look out the next maybe 12 months to 18 months. Thank you.
Stephen Chang: Sure, home appliances is definitely one of our target end applications. We have been addressing this with our IGBT as well as our modules based on those IGBTs going after the compressor motors and refrigerators, going after the drum motors used inside washing machines and dryers. And we – this is a great market for us. We are just starting in this space. Overall, this is like a $2 billion market where we have somewhere around like 1% market share. So, there is quite a bit for us to be able to do more in this space. Right now the – we are trying to catch on to the general trend towards inverter motors being used to power those motors used inside those home appliances. Right now, there are some headwinds generally in that end market just because it is tied to the overall global housing market. But yes, we do see some of the strength at least in the next quarter or so. We hope that this can continue and going forward. It is an important end market for us and we continue to invest in this space.
David Williams: Thank you for the time.
Operator: Thank you, David. Our next question comes from Craig Ellis with the company B. Riley Securities. Craig, your line is now open.
Craig Ellis: Yes. Thank you for taking the question and congratulations on getting through the cycles truck guys. I wanted to start with the follow-up on a point that was made in prepared remarks. I think by you, Stephen, regarding sharing content gain that is occurring across really all of your end markets. And the question is this is, as we look at what’s happening in for example, the content gain in PCs with dollar content going from $2 to $3 in some systems, or with share gain that you might have in the communications end markets. Can you rank, which end markets would benefit the most this year from those company specific gains down to the lease benefit? How do we think about the relative contribution of that as we think about what’s going on in the business this year? That’s the first question.
Stephen Chang: Sure. I would say if you ask more generally, I would say the smartphone impact is probably the bigger one. And we are talking about the short-term, because as we mentioned the strength in the China phones, but as regarding the BOM content increase, our products are doing particularly well in the higher end phones. And one of the general trends there is actually moving towards higher charging power and basically the end customer wants to be able to charge their phone much faster. Therefore, yes, you have to push more power through our devices to charge the battery or to operate the phone. So, that is increasing the performance and the BOM content for power in those applications. So, both the – gaining share overall and we also continue to do well in the U.S Tier 1 phone maker as well too in terms of having a solid share there. So, both share gain as well as BOM content increase is playing well there. On the PC side, we talked about the general BOM expansion is contributing there. We are starting to see more IC content going in there in general. But at the same time the PC market is still not out of the, I would say out of the down cycle yet, it’s going to take a little bit longer to get to get there. But we are being better positioned with more content addressing the PC. But in the meantime, we are also expanding, diversifying within computing to get into more on the graphics side as well as the AI portion.
Craig Ellis: That’s helpful, Stephen. And the follow-up question is really two-fold. First, very specifically the PCs, if Intel is on track to ship 40 million Meteor Lake units this year in the back half for their target. And then I think its 60 million next year. Is that where you are getting some content gain and are we seeing some of that in the guidance for fiscal 4Q? And then the broader question beyond just compute, I think three months ago when you talked about mid-year and the second-half of the year, you saw the potential for there to be a seasonal rise in the business that looks like we are starting to see that. Can you just talk about how your expectation for the back half of the year, or the fiscal first half of ‘25 has changed in the last three months. What’s gotten better and is anything tick lower? Thank you.
Stephen Chang: Sure, regarding PCs in calendar – in the first half calendar versus second half calendar year, we do think that the second half will be stronger than the first half. But it’s hard to see how strong it will be going beyond the peak season in September. We do believe that the seasonal patterns are already coming back. But we are hesitating to call a full recovery and then we will know better once we are into that second half in terms of how, whether it will persist going into this December quarter. Overall, I think – we think it will probably take a little longer to get to the full recovery for PCs. I think an Intel transition to Meteor Lake will help. We are hoping that some of these new platforms in general from the OEMs will also start to trigger more end demand for PCs. But overall, yes, we are expecting that to see PCs be stronger going into the September quarter. But we are going to be careful watching out for that.
Craig Ellis: Yes. And if I could just lastly, one for you, Yifan, nice to see gross margins performing a little bit better than at least our model. My question is this is as you look beyond June, what are some of the bigger gives and takes that we should be aware of for gross margin and really the pace of expansion and what do you need to see to be confident that gross margins can move back to that 30% level and then at some point higher? Thank you.
Yifan Liang: Sure. Yes. I mean as we guided in the, for the June quarter, I mean we do expect to see some gross margin pickup there. Beyond that and then there are many factors and that could affect gross margin and I mean utilization will be the one and also product mix and overall ASP environment solid. At this point and I mean we still think and our mid-term target model and the one we reach the $1 billion in revenue, we expect to get to 30% gross margin on the non-GAAP basis level.
Craig Ellis: Got it. Thanks guys. I’ll hop back in the queue.
Operator: Thank you, Craig. Our next question comes from Jeremy Kwan with the company, Stifel Nicolaus & Co. Jeremy, your line is now open.
Jeremy Kwan: Yes, thank you. And I guess maybe I’ll follow-up on the gross margin question. Yifan mentioned at the $1 billion mark, 30% gross margin. Can you help us bridge that gap, I guess from now to there? How much do you see coming from revenue absorption and how much from better mix and maybe help price – how you see pricing, the pricing environment factoring into that that forecast? Thank you.
Yifan Liang: Sure. I mean when we get to the $1 billion level, we expect most of the gross margin improvement would come from product mix. So, by reaching $1 billion and our product mix, I would expect that we have quite a bit improvement in terms of power IC products and some higher sockets products even in the MOSAID businesses. So overall I would expect the majority of the gross margin improvement comes from product mix. And I would say ASC environment, would be returned to normal, and I mean right now is a little bit I would characterize as a little bit worse than normal since we are still in the inventory correction mode.
Jeremy Kwan: And just as a reminder, the normal environment is that mid to high single digit declines. And right now, it’s maybe high single digits. Can you help us quantify that a little bit more in terms of the pricing environment?
Yifan Liang: Yes, I mean, typically it will be in the mid to high single digits declined and right now there’s more on the on the annual basis and trending toward the high single digits.
Jeremy Kwan: Great. And I guess in terms of the competitive landscape, I think you mentioned before seeing more competition at the low end. Has that changed appreciably in the last 3 months? And yes, any more clarity on that you can provide for us in terms of how much of your portfolio it affects, that would be very helpful.
Yifan Liang: I mean, in the past 3 months, I don’t see a whole lot of changes in terms of product mix and as we mentioned and in certain application end markets yet we do see some improvements, for example, in the smartphone in the graphic cards and in those areas.
Jeremy Kwan: Got it. And one final question. Just going back to gaming for the recovery in the June quarter, is there, do you have a sense of how much of that is coming from inventory headwinds going away and maybe even restocking? And how much of it is coming from the higher bond content you have? And one final question on that. I know it’s a little early for the next Gen. but you also anticipate like a step function BOM increase over this mid cycle refresh platform in terms of the BOM content? Yes, any more details and that would be helpful. Thank you.
Stephen Chang: Sure, Jeremy. Yes, for the gaming consoles, we just reminded that that we are, they are in about year 4 or 5 of their about 7-year life cycle. And so this that’s where the inventory correction was coming from as they’re entering the second-half of that life cycle. So the – we are happy and encouraged to see the orders coming back and going into the June quarter. And, I don’t have a hard number, but maybe roughly half-half it is. We are definitely seeing the return of orders for the existing parts that’s in the BOM. And we’re also seeing a in a ramp up for the derivative product that they’re bringing out towards the end of this year, as well too. So both are making impact and helping to see for that sub segment to grow.
Jeremy Kwan: Thank you very much.
Stephen Chang: Thank you.
Operator: Thank you, Jeremy. At this time, there are no other questions registered in queue. [Operator Instructions] There are no questions registered in queue. So at this time, I’d like to pass the conference call back over to our management team for any closing remarks.
Stephen Pelayo: Okay. Hi, it’s Stephen Pelayo. Before we conclude, I’d like to briefly mention two upcoming events. Management team will be participating in and will be available for one-on-one meetings at the B Riley 24th Annual Institutional Investor Conference May 22nd in Beverly Hills and the Stifel 2024 Cross Sector Insight Conference on June 5th in Boston. If you wish to request a meeting, please contact the institutional sales representative at each of the sponsoring banks. This concludes our earnings call today. Thank you for your interest in AOS and we look forward to talking to you again next quarter. Thank you.
Operator: That concludes our Alpha and Omega Semiconductor fiscal quarter three 2024 earnings call. Thank you for your participation and enjoy the rest of your day.